Operator: Hello, and thank you for standing by for JD.com's Second Quarter 2014 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ms. Ruiyu Li. Please go ahead, ma'am. 
Ruiyu Li: Thank you, operator, and welcome to our second quarter 2014 earnings conference call. Joining me today on the call are Richard Liu, Chairman and CEO; and Sidney Huang, Chief Financial Officer. For today's agenda, management will discuss highlights for the second quarter 2014. Following the prepared remarks, Haoyu Shen, CEO of JD Mall, will join Mr. Liu and Mr. Huang for the Q&A section of the call. 
 Before we continue, I refer you to our Safe Harbor statement in the earnings press release, which applies to this call, as we will make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to most directly comparable GAAP measures. 
 Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB.
 Now I would like to turn the call over to our Chairman and CEO, Richard Liu. 
Qiangdong Liu: Good day, everyone. Welcome to our second quarter 2014 earnings conference call. Let me begin with a brief sector overview. The e-commerce market in China saw strong growth during the second quarter. The long-term shift in China towards B2C continue, feeding into Jingdong's [indiscernible]. Within this context, Jingdong outperformed the industry, further obtaining market share. Jingdong's model of providing authentic goods, leading customer service and a convenient 1-day and a next day-deliver helped us gain traction. But we remain focused on further strengthening our advantage in these areas.
 I believe that the Chinese consumers deserve to know that everything they buy is authentic. This creates a better customer experience, and that we continue to devote this service to ensure that products on our site are always real. 
 Let me update you on our logistics. While the overall foundation of Jingdong's success is our self-operated nationwide fulfillment infrastructure, which is the largest among e-commerce companies in China, our record last-mile delivery network creates great experience that our customers know they can rely on. It also helps our third-party merchants simplify their businesses, enhance customer experience and build loyalty. Expanding this network to high-growth market is a top strategic priority, and that is annal [ph] in the second quarter. Our self-operated delivery network covered 1,780 counties and districts, up from 1,404 counties and districts that is annal [ph] in the first quarter.
 Going forward, we will continue to strengthen our network in fast-growing lower-tier cities. This will enable Jingdong to reach a much wider range of key consumer demographics. 
 Turning to mobile. Creating the first mobile shopping experience is also core to our growth strategy. Our mobile app is gaining strong traction, with smart -- via smart devices are becoming central to China's Internet users. Meanwhile, our close partnership with Tencent is vital to our mobile strategy. We recently introduced level-one access to Weixin and Mobile QQ, which have more than 400 million or 500 million active users.
 Respectively, these game-changing initiatives bring Jingdong outstanding customer experience to China's 2 leading social communications platform. Overall, we are seeing strong positive trends with over 24% of overall orders placed on mobile in the second quarter. 
 Looking beyond Jingdong Mall, in addition to our leadership in B2C e-commerce, Jingdong also aims to provide a trusted C2C platform, while buying authentic products online in China. We recently relaunched Paipai, with the goal of bringing the Jingdong experience to our Chinese C2C e-commerce market. With lower marketing costs, better search and access to Jingdong's delivery network, we believe that the buyers and the sellers will understand the clear advantages our platform offers.
 Turning to the future. We see many opportunities for Jingdong to extend our sector leadership. We will expand our range of products and our services, build our fulfillment infrastructure, optimize our mobile offerings and use technology like leveraging big data to continuously enhance customer experience. We are excited about our future potential and are committed to our mission of bringing world-class online shopping to customers.
 Now I will turn the call over to Sidney Huang, Jingdong's CFO. Thank you. 
Xuande Huang: Thank you, Richard, and hello, everyone. I would like to spend the next few minutes to go through our Q2 financial results and our Q3 outlook. We are quite pleased with our second quarter top line and bottom line results. Our GMV more than doubled from the same period last year, benefiting from our continuously improving customer experience, enhanced brand recognition, lower-tier city penetration initiatives and our strategic collaboration with Tencent. Even excluding the GMV contribution from Paipai and Wanggou, which are the 2 marketplace platforms acquired from Tencent, our JD.com GMV grew 85% year-over-year and 31% sequentially, a very strong showing given our large site. The GMV composition also showed an encouraging trend towards further category diversification. GMV contribution from electronics and home appliances decreased from 61% in Q1 2014 to 55% in Q2. GMV from general merchandise categories grew 167% and accounted for 45% of total GMV. If you look at the number of orders, well over 2/3 of all orders are now for nonelectronic products. Of the general merchandise categories, apparel and shoes, sporting goods, packaged food, jewelry and handbags are the fastest growing subcategories.
 GMV from our marketplace business grew 246% in Q2 and accounted for 38% of our GMV during the period. This has clearly accelerated our original timetable of reaching 40% of GMV from marketplace by 2016, thanks to the incremental GMV from the acquired Tencent e-commerce platforms. But even excluding Paipai and Wanggou contribution, our top marketplace GMV grew nearly 150% from a year ago, as the number of third-party merchants grew 130% during the same period. The strong growth in our marketplace demonstrated our commitment and progress in bringing more long-tail products to our customers.
 Our net revenues grew 64% year-over-year and 26% sequentially. The revenue growth reflects largely our 1P business momentum, with home appliances and general merchandise leading the growth. Services and other revenues began with a lower base and grew 186% year-over-year and 82% sequentially, driven by the higher marketplace GMV, increased advertising income and logistics revenues from our third-party merchant services.
 This leads to my discussion on the gross margin. Before I continue, I would like to note that gross margin in our case is not a GAAP measure, partly due to the difficulty in separating fulfillment costs for third-party logistics services from our own fulfillment expenses. Therefore, we do not show gross profit on our income statements, and this analysis is for your information only. So if you take our total net revenues minus the cost of revenues, you will get a gross margin of 11% for the second quarter 2014 compared to 8.9% in the same period last year. The improvement is mainly a result of the higher service revenues discussed earlier. However, this is not to say that the higher gross margin was all contributed by our 3P business. In particular, a substantial amount of advertising income came from the suppliers of our 1P business, as JD.com increasingly becomes a powerful distribution channel for brand owners.
 Now let's discuss the operating expenses. For ease of comparison, I will focus on the non-GAAP expense ratios of this expense line. First, the non-GAAP fulfillment expense ratio rose 96 basis points to 6.86% compared to 5.9% in Q1 2014. Of the 96 basis point difference, an estimated 30 basis points can be attributable to the expanded logistics services through our third-party merchants, if we assume the incremental fulfillment costs is the same as the incremental logistics revenues booked under services and others. This estimate is a decent proxy because we -- our current strategy is to price these services at breakeven to a slight loss in order to attract merchants to try our service offerings. Nearly 30% of our top marketplace orders were delivered by our delivery staff in Q2. The remaining 66% -- no, the remaining 66 basis point increase in fulfillment expense ratio is mainly due to 2 short-term reasons. One is the seasonal increase in the number of fulfillment employees hired in anticipation of our anniversary sales event to ensure a smooth customer experience during the midyear peak shopping season. The other is the short-term overcapacity resulting from the integration of Tencent logistics employees in certain overlapping regions. The non-GAAP marketing expense ratio remained at 2.6%, the same as the previous quarter but higher than 2.4% in the same quarter last year as we continue to invest in brand advertising and lower-tier city marketing activities. The non-GAAP R&D expense ratio increased to 1.4% compared to 1.2% in the prior quarter and the same quarter last year. The increase reflects the additional R&D and the mobile technology talent from the Tencent transaction and our commitment to hire more experienced R&D staff.
 Lastly, the non-GAAP G&A expense ratio remained stable at approximately 0.9%. As a result, non-GAAP operating margin was negative 0.8% compared to a negative 1% in the second quarter last year. Our non-GAAP bottom line was roughly at breakeven in the second quarter, which is better than expected. However, I would like to reiterate that our current strategic focus is to grow our scale and enhance our customer experience. Our better-than-expected Q2 bottom line does not in any way reflect a change in our strategy, and our non-GAAP net margin outlook remains at breakeven to negative 1% for the remainder of this year, as well as for the year 2015.
 Now let's turn to our cash flow and working capital. We are pleased to see a positive free cash flow in the second quarter despite the increased CapEx spending. Our inventory turnover and accounts payable turnover days are generally in line with previous quarters. I just want to explain one technical detail here. As disclosed in our earnings release, our supplier financing business has grown significantly over the past 6 months with a RMB 1.4 billion balance as of June 30. This amount offsets the accounts payable on the balance sheet. But in calculating accounts payable turnover days, we add it back to deflect [ph] the underlying payment terms to our suppliers. Similarly, for free cash flow calculation, even though the market practice is to classify our Internet finance activities in operating cash flow, as they are deemed to be related to our e-commerce business, we added back the changes in supplier and consumer financing balances to the free cash flow analysis to reflect the underlying core business cash flow.
 Here, I would like to give you a quick update on CapEx. Based on our first half actual spending and a second half forecast, we now expect our CapEx in 2014 to be between RMB 3.5 billion and RMB 4.5  billion, with part of the difference pushed into next year due to the lengthy land acquisition process typical in China. 
 Lastly, let's discuss our third quarter outlook. We expect our Q3 net revenue to be between RMB 280 billion and RMB 290 billion, representing year-over-year growth between 55% and 61%. We do not provide GMV guidance, but its growth rate is expected to be significantly higher than the revenue growth rate, fueled by our marketplace expansion. Sequentially, however, there will be little increase for both GMV and net revenue due to the seasonal high of the second quarter and the lack of holidays or shopping events in the third quarter. In the meantime, we will remain focused on improving our customer experience while executing our growth strategies.
 With that, I will turn the call back to the operator for the Q&A session. 
Operator: [Operator Instructions] Your first question comes from Eddie Leung from Merrill Lynch. 
Eddie Leung: My question is on your mobile channel. You mentioned that there's about 24% of the orders coming from mobile. Just wondering how can you compare the cost conversion rates as far as the order size of your mobile users versus your PC users. Any color would be very helpful. 
Shen Haoyu: Eddie, this is Haoyu. We do -- we are in pretty early stage right now in our mobile strategy, right? When we look at our mobile strategy, it's a few different things. We have our own app and we also have our level-one entry point Weixin and recently QQ as well. So those key metrics are very different across these different channels. So typically, you see conversion rate is -- conversion is defined by number of orders divided by unique visitor, for example. It's higher on apps and it's typically lower on Weixin, and we expect the conversion -- it's very early days for Mobile QQ, right? But we think that will also be lower than what we see on our app. And as far as basket size, it's also lower, lower than -- the app is slightly lower than what you see on PC. And on the other 2 entry points, the basket size is lower. 
Xuande Huang: Yes. I think this is because for the communication tools, people tend to shop on impulse versus for our own app and on PC, and customers tend to come with a shopping desire to begin with. 
Shen Haoyu: Right, and we have -- we're definitely planning to improve the conversion rate on the 2 new channels, Mobile QQ and Weixin. 
Operator: Our next question comes from Erica Werkun from UBS Bank. 
Erica Poon Werkun: My question is if you can just share with us some of your operational updates on some of the key categories such as 3C, apparel, cosmetics, packaged food, et cetera, whatever you feel comfortable sharing with us. 
Xuande Huang: Yes. I mentioned earlier that home appliances and the general merchandise led growth from a revenue line perspective. If you look at GMV among the general merchandise categories, apparel and shoes, sporting goods, packaged foods, jewelry and handbags, those are some of the categories that we saw with above average growth rate. 
Erica Poon Werkun: Sidney, would you share with us some of the revenue breakdown or GMV breakdown from these categories? 
Xuande Huang: Yes. Right now, we are not disclosing the exact breakdowns. 
Operator: The next question comes from Alicia Yap from Barclays. 
Alicia Yap: I have a question, I think, Haoyu, just now you mentioned about the mobile's behavior is a little bit more impulse spending and also slightly lower conversion rate on the apps versus for some of the other integrations. So would you have a plan to launch different type of interface or maybe the SKU for your own app versus the one that linked through the QQ or the Weixin? For example, would you have any interest or plan to launch like a flash sales for the smaller products on the QQ. 
Shen Haoyu: Right. If you look at our interface, user interface on our app and versus Weixin and Mobile QQ, they are already very different because we do have hypothesis on people's mindsets when they come to these applications or entry points, if you will. So -- but again, everything mobile is in early stage. And we do -- for example, when we think about Weixin and the Mobile QQ surf [ph] different from app, right, it's in a social network context. How to do e-commerce in that context more effectively is still something that we are going to experiment with. As far as whether we will launch a separate app for flash sale, not at this point. I think, overall, for flash sale model, we are still exploring. We are doing a lot of testing and really ramping up that business. So at this point, we don't think -- now we will -- once we have that business, we will definitely integrate that into our main app and integrate into our entry point. But you never say never. So maybe when the business becomes at certain scale, we may think about launching a separate app. At this point, no. 
Operator: The next question comes from Robert Peck from SunTrust. 
Robert Peck: I was wondering if you could maybe talk a little bit more about the advertising business. It seems we may have had an inflection point in that business this quarter. Can you give us any color on the revenues generated by it and the margins on it and maybe the expectations of that going forward given the increased interest from clients? 
Shen Haoyu: We did launch the -- I think we probably mentioned in the press release, we did launch our advertising platform officially in Q2. So I think that helps. So it's essentially a platform for our vendors and our suppliers to buy ads on our own website, on JD's website. And also we have a platform for them to bid on other media. It's sort of a DSP kind of arrangement. So we help them to buy traffic from other websites. So the advertising revenue we get from sales of our own traffic and also what they are bidding on other websites both accounted for the advertising revenue. 
Robert Peck: And are you willing to break out how much revenue that was during the quarter or just the margin profile on that? Is that a very high-margin business? 
Shen Haoyu: It's definitely a higher-margin than our traditional business. But at this point, I don't think we're planning to break down the items -- all the items within the service and others line item. 
Xuande Huang: Yes, just from accounting perspective, as I mentioned, the gross margin is not a GAAP measure here. So basically all the related cost is booked to show our marketing expense line. 
Operator: The next question comes from Cynthia Meng from Jefferies Asset Management. 
Cynthia Meng: My question is on the push to lower-tier cities. Can management give us some color or update on the push to the lower-tier markets? Any plan to do it on your own with more promotions or M&A -- through M&A to go into the lower-tier cities? Also, if possible, we would appreciate some color on the initial observation that management could share from the launching of mobile through Weixin and also Mobile QQ debut shopping app? 
Xuande Huang: I don't know some of the actual... 
Qiangdong Liu: [Chinese] 
Xuande Huang: Okay, so let me translate. So in the second quarter, we accomplished 2 initiatives. One is we significantly expanded our delivery network to cover more counties and districts. We opened up delivery stations in more than 300 of them, roughly 20% increase, okay, in the second quarter, so that we can cover more of these lower-tier cities. And then the second initiative is to have -- we call it a 1 city, 1 billboard. So in 140 cities -- 146 cities, we have a very large advertising billboard in probably the most visible area, in the city center to really call attention to the local residents. So the next step, we want to expand our SKUs that are more suitable for lower-tier city consumers. So this is another initiative that we are still working on in the third quarter. And the launch of level-one entry point on Mobile QQ will also help us in the penetrating efforts. Now so with these initiatives, we expect to see more results in improving business volume from lower-tier cities starting in Q4 of this year. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So on the Weixin entry point, we -- since we're starting in late May, we have seen improving conversion ratio and also improving UV value. However, there are no precedents in this kind of mobile interface historically. So both teams are still working very closely on this new entry point. We have over 1,000 R&D and product development staff in Shenzhen working side-by-side with the Tencent team, so that we can create more user-friendly interface. In fact, we have recently started a contest to aim to reward the best design for our Weixin entry point interface, and we gave RMB 8 million bonus reward to -- in total to various winning teams. So both Tencent and JD.com R&D teams can participate. We have seen a lot of very, very, very positive feedback and the participation. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So I believe both Weixin and Mobile QQ are 2 gold mines. We have not fully explored the great potential in those 2 entry points. 
Shen Haoyu: Just a bit more color to add to what Richard and Sidney said. So, so far, we found it to be -- both Weixin, I guess, and Mobile QQ to be a great channel for us to reach new customers and to reach people in lower-tier cities, and also we found it to be a great channel to launch new products to sell hot items, if you will. 
Xuande Huang: Yes. Just to add on that, if you look at our active customers in Q2, we had over 38 million versus about 31 million in Q1, so a net add of 7 million new customers. So that, actually, is a validation of what Haoyu just mentioned, attracting new customers.
 customers. 
Operator: Your next question comes from Ella Ji from Oppenheimer. 
Ella Ji: I just wonder if management can share with us in 2Q GMV and revenue, how much of that is your organic versus the one that you acquired from the Tencent partnership? 
Xuande Huang: Right. I mentioned earlier, if you look at the total GMV, if you exclude Paipai and Wanggou, our GMV would grow 85% on a year-over-year basis. And from a revenue perspective, because both Paipai and Wanggou are marketplace businesses, so the revenue could be basically ignored in this case. So substantially all of the 64% revenue growth came from organic sources. 
Ella Ji: Got it. If I can sneak in one more. Relating to your fulfillment expenses, first of all, we are seeing -- I think you indicated some delays in building other warehouses due to land acquisition process. Can you give us an update when do you think additional warehouses can -- started to construct. And also, we have discussed previously that those Asia No.1 are highly automatic and will help with your efficiencies. How about the benefits in P&L? How much and when do you think we can start to see the savings in P&L to show up? 
Xuande Huang: Right. So for Asia No.1, our first mega warehouse has started in operation in late June, as we disclosed. So this one is -- has been put into operation, but it will take some time to get to a full capacity because it's a very large warehouse. It probably will take 6 to 12 months to get to the full capacity level. And before that, you may not see any cost savings. But it does create a great technology know-how for our future warehousing buildup. On the other projects, we -- right now, the Shengyan and Guangzhou ones are still in construction and Wuhan, right. So we expect those 2 to be put in operations next year. 
Qiangdong Liu: [Chinese] 
Xuande Huang: Yes, so even though a single Asia No.1 warehouse is fairly large, but because we already have a very large warehouse capacity nationwide already, so any single Asia No.1 warehouse would not have a huge impact on overall capacity. 
Operator: Your next question comes from Gene Munster from Piper Jaffray. 
C. Eugene Munster: My question is a follow-up from the previous question as far as the build-out of the fulfillment centers that gets pushed a little bit into 2015. How should we think about that having an impact on revenue growth? I realize you don't give guidance. But as these fulfillment centers start to get opened up, would they have some longer-term positive impact on revenue growth that should be -- that would be helpful to think about when we're modeling 2014 and 2015? 
Xuande Huang: Yes, well, we have been operating at very fast growth pace over the past 10 years without big Asia No.1 warehouses. So we can continue to -- certainly continue to grow. If we need capacity, we can always lease the warehouses in various locations. So I don't see any impact on our GMV or revenue growth. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So the strategic significance of opening Asia No.1 warehouses is really to allow us to provide our third-party merchants warehousing services, and so that we can provide a more integral logistics services, including both warehousing and delivery to our merchants, which in turn will improve our user experience. 
Operator: Your next question comes from John Blackledge from Cowen and Company. 
John Blackledge: I have 2 questions. I know you don't guide to GMV growth, but could you give us a sense of the drivers of GMV growth in the third quarter? And then my second question is drivers of CapEx and how we should think about the CapEx-to-sales ratio over the long term. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So, yes, if you look at that, as I mentioned in my prepared remarks, the Q3 GMV growth is actually -- although it's fairly, fairly, fairly high, I mean, revenue growth, but on a sequential basis, it also [ph] has fairly limited upside given the seasonal changes, right? Our Q3 is a seasonally low quarter, so we will just continue focusing on the current categories that we have been in and grow our business throughout our platform. On the CapEx, we have disclosed in our prospectus that we expect to spend about RMB 1 billion to RMB 1.2 billion over the next 3 years. So currently, we do not have any change to that original CapEx plan. So that's RMB 1 billion to RMB 1.2 billion in total for the next 3 years. 
Operator: Your next question comes from Ida Yu from CICC. 
Ida Yu: Can you just give us more update about your June 18 operation side? And can you also share us some of your opinion to see the competition between Suning and Gome as you see they both announced a price war in August. So how would you see that? 
Xuande Huang: On the June 18, we had a very short press release. Our order number more than doubled from a year ago, and basically, we received very, very good reception from consumers, and because of our well-prepared logistics network so we actually also ensure timely delivery. 
Shen Haoyu: Right. Just to add what Sidney said, so in -- overall in Q2, we see very good results in our home appliance sector. So we are really gaining share from entire market perspective. So we did notice that some of the other players are gearing up on the e-commerce business, but what's important for us is to focus on what we do. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So to respond on the question on the price war, Richard is saying that today it's, any simple price war will not be effective -- at least not as effective as several years ago because today, consumers in China will look for a variety of attributes in their shopping decision, right? So they will look at the quality of products, the variety of products available and the service level, and as well as the price, right? So price is only one attribute in this whole shopping decision-making process. So a simple price war should not have a very effective consequence. 
Operator: Your next question comes from Mark Miller from William Blair. 
Mark Miller: Regarding the third-parties using JD's fulfillment capabilities beyond the Asia No.1 fulfillment center, what are the other things you're doing to try to get them to adopt this service? And then once the Asia No.1 facility is running and you have broad coverage, how high do you think that penetration can go for third-parties? And then from a third-party seller standpoint, what kind of savings do they see using JD services compared to shipping on their own? 
Shen Haoyu: So right now, as we mentioned, we handle about 30% of the parcels sold by third-party merchants on our site, and as Richard meant [ph], but this is only last mile. Not many merchants are putting their inventory in our warehouse yet because we don't have much extra capacity for them to use. But once we have -- or more warehouses constructed, such as Asia No.1, we will have more capacity for them to put their stock into our warehouses. And only by doing this can we offer them the best service. If you think about it, if the packages sold by the third-party merchant come out of our warehouses and go into our last mile system, it's really controlled -- the end-to-end experience is controlled by us. It will be very similar or the same to what we're offering to our own merchandise. So we're really very much looking forward to providing the combined warehouse and last mile service to our merchants. At this point, we don't know what's the sort of -- where the seating is, what's the highest percent we can reach as far as parcels we can handle warehouse-wise and last mile-wise. But the price is not competition. Price is not what we are focusing on. I don't think our merchants are getting much cheaper price from us. I think the key here, the pitch for us to our merchants is once we handle logistics, the entire logistic process for them, they can sell more because customer experience will be much better. 
Operator: Your next question comes from Wendy Huang from Standard Chartered Bank. 
Wendy Huang: Can you provide the GMV or orders breakdown by different payment channels? And also, do you have any plan to further utilize Tencent's Tenpay and Weixin payments? And also one more housekeeping question about your P&L. I think there is over RMB 300 million adjustment item related to the marketing amortization from the business acquisition. Is that something related to your transaction with Tencent? And also, should we expect this item to be recurring for the future quarters? 
Xuande Huang: So let me answer the last question first. Yes, the amortization is related to the Tencent transaction and it will recur for the next 5 years -- the bulk of it will be the same for the next 5 years, but part of that will be amortized in a shorter period. So for the payment question, right now, if you look at our principal -- note, the overall -- out of the overall orders, over half of the orders were paid through credit cards and the remaining was through cash on delivery. 
Shen Haoyu: Right, the -- so if you look at our sort of traditional PC, I was thinking it's probably similar in our app's case, the majority is still COD but it's not really cash, it's probably credit cards on delivery and the rest would be online payment. And online -- the percent of online payment is going up gradually, but not very fast. And as far as payment, Weixin entry-point, I think the majority will still offer COD, of course, but then, as far as online payment, I think the majority is Weixin pay. 
Xuande Huang: And we do plan to have both Weixin and our own payment solution available on our PC end. 
Operator: Your next question comes from Jiong Shao from Macquarie. 
Jiong Shao: I have a follow-up question on your mobile product. Would you be able to share with us the rough mix in terms of your mobile traffic into your own mobile app, the Weixin level-one access and Mobile QQ level-one access? What the current mix looks like and what do you think the mix will look like, say, 3 years from now? 
Xuande Huang: Yes, so as Haoyu mentioned earlier, this is really too early at this point. Any breakdown is not going to be very meaningful. I think that our focus is to enhance the overall customer adoption on mobile and -- for JD shopping. So we still look at as a whole package instead of looking at different various channels. Longer term, we certainly hope most of the shopping activities will happen on the JD app because that's a more complete shopping experience, especially with the user interface. I just want to also quickly make a correction, I thought -- I think I may have over -- misspoken about the revenue outlook. It should be RMB 28 billion to RMB 29 billion, consistent with what's in the earnings release. 
Operator: The next question comes from Sean Zhang from 86Research. 
Sean Zhang: My first question is the comparison between JD and Tmall. We get this question a lot. The investors ask, what's the driver for merchants to come to JD or choosing JD as their #1 choice for marketplace? My second question is, I see your gross profit margin increasing quarter-on-quarter. This is the result that we proactively increased our bargaining power or is this the result of the change of product mix? Now what's the trend going forward in the next 2 years? 
Qiangdong Liu: [Chinese] 
Xuande Huang: So first, JD.com, through our past 10 years, have accumulated a very large customer base with very good consumption ability. So this is actually the best consumer class, middle class consumers who are paying attention to the quality of products and services. And secondly, even for the merchants, we believe merchants will prefer to be selling their products on a platform that's known for authentic products offerings instead of mixed with a very large number of merchants selling products from gray channels. 
Qiangdong Liu: [Chinese] 
Xuande Huang: Yes, so third, JD marketplace platform provides a fair playing ground for the merchants, which is certainly very, very important for the merchants to conduct their business. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So just to share one data point. Through our past 2 years of efforts, we have now attracted most of the named brands in apparel category onto our JD platform. 
Operator: Your next question comes from Tian Hou from T.H. Capital. 
Tian Hou: My question's related to the Internet finance. So there are a lot of reports and talk about that, your entry into Internet finance business. So currently, we sell 2 products, one is Jing Bao Bei, the other one is Jingdong Bei Tio [ph]. So I wonder, what's the progress on these 2 product front? And when you get revenue from those 2 products, how do you record them? So that's the number one question. Number two is there's some press report talking about your O2O, and such as you want to utilize your logistic infrastructure to serve your clients by cooperating with local convenience stores to deliver general merchandise products. Can you elaborate on that? And what's your strategy on that front? And also, you guys also developed into online travel channel. So what's the progress and strategy on that front? That's all my questions. 
Xuande Huang: Okay. So let me take the first question, and later, Haoyu will take the next 2. Just for the Internet finance, we mentioned earlier the supplier financing business have seen tremendous growth over the past 6 months. The ending balance at June 30 was roughly RMB 1.4 billion. The revenue from that, accounting-wise, is actually quite interesting. Based on the accounting rule, the revenue is actually counted as a reduction to cost of revenues. So that is in the cost. And then for consumer financing, Jingdong Bei Tio [ph], right now, we're also seeing fairly meaningful growth, but the balance is actually very, very insignificant at this point. But this is still in the experimental phase. 
Qiangdong Liu: [Chinese] 
Xuande Huang: Yes, so for the -- yes, we, in the second quarter, basically, we have connected an increasing number of off-line convenience stores. Right now, it's still in the process of integrating the inventory systems, and we expect to have a more meaningful impact all ready [ph] to fully roll out to the consumers in the fourth quarter. 
Tian Hou: So is that going to be a revenue going forward, or is it going to be revenue deduction on the fulfillment side? What's that impact going to be? 
Xuande Huang: Yes, so the revenue model will be actually similar to our POP marketplace. Basically, we'll have a take rate from those transactions, so it will be in other service revenues. 
Tian Hou: Okay, that's good. What about the travel channel? 
Shen Haoyu: Right. So we've had our travel channel for a while now. We do sell airline tickets and hotel room nights. And we do that really to complement our selection, really to make sure that our customers, if they do want to buy travel products, we offer them on our website. 
Operator: Your next question comes from Eric Wen from China Renaissance Securities. 
Tianli Wen: I have 2 questions. The first question is regarding -- Sidney, if you can share some color on your food beverage and alcohol category of business. And second is your home electronics business, what's the growth? And if the company is planning to spend any additional effort [indiscernible] 
Xuande Huang: Sorry, we are losing you. So let me first answer your first question on the -- I believe you were asking about food and beverage growth. I mentioned earlier, it was actually growing above average during the second quarter. So it's a very strong-performing category. For home appliance, it's also a very strong-growing category, growing above average from a revenue perspective. But we lost you on the remainder of the question. 
Qiangdong Liu: [Chinese] 
Xuande Huang: So Richard just added some points on our wine and liquor category. In Q2, we -- JD became the only online platform that is authorized by the top 8 liquor brands in China, including Moutai, Wuliangye, all 8 of them. So we are the only one that is authorized by all of them. And then we also formed a professional team to work on imported wine from all over the world. So we actually -- we believe this is a very promising category going forward. 
Tianli Wen: Okay. I can hear very clearly. My second part of the question is your home electronics business. And if I may, if you can still hear me, Sidney, can you give us some indication of your profitability of your supply chain finance? I heard you mentioned your ending balance [ph] is about RMB 1.4 billion, can you comment on what is the interest rate that you are generating, kind of accounting [ph] you are generating. And that's all my questions. 
Xuande Huang: Okay. So yes, for the electronics category, if you exclude the home appliances, the mobile devices category was also growing very nicely. But IT, Digital Products category, growing slower than the company average, which has been the trend. And the gross margin, for Q2 in particular, because it's our anniversary sales season, normally, the gross margin will not be the highest during the year, among the different quarters. But we are working to improve profitability for our home electronics category because we are the market leader in those categories. For the supplier financing, the effective interest rate, I believe, is roughly 9%, in the neighborhood of 9%. So it is not really a pure financing business. This is also to provide a service to our suppliers. 
Operator: We are now approaching the end of the conference call. I will now turn the call over to JD.com's Ruiyu Li for closing remarks. 
Ruiyu Li: Thank you, operator. Thank you all for joining us today. Please feel free to contact us if you have any further questions. We're looking forward to talking with you in the future. 
Operator: Thank you for your participation in today's conference call. This does conclude today's presentation. You may disconnect. Good day. 
Xuande Huang: Thank you. Bye, everyone.